Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2011 Perficient, Inc. Earnings Conference Call. My name is Stephanie and I’ll be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of today’s call. (Operator Instructions) I would now like to turn the conference over to your host for today, Mr. Jeff Davis, CEO and President. Please proceed.
Jeffrey S. Davis: Thank you very much. This is Jeff Davis and with me on the call this morning is Paul Martin, our CFO. I want to thank all of you for your time this morning and as typical we get about 10 to 15 minutes of prepared comments, after which we’ll open the call for questions. Paul would you please read the Safe Harbor statement?
Paul E. Martin: Sure. Good morning, everyone. Some of the things we will discuss in today’s call concerning future company performance will be forward-looking statements within the meaning of the securities laws. Actual results may materially differ from those discussed in these forward-looking statements and we encourage you to refer to the additional information contained in our SEC filings concerning factors that could cause those results to be different than contemplated in today’s discussion. In addition, our earnings press release including a reconciliation of certain non-GAAP financial measures to the most directly comparable financial measures prepared in accordance with Generally Accepted Accounting Principles, or GAAP, is posted on our website at www.perficient.com under News and Events. We have also posted a reconciliation of certain non-GAAP goals to the most directly comparable financial measures prepared in accordance with GAAP on our website at www.perficient.com under Investor Relations. Jeff?
Jeffrey S. Davis: Thanks, Paul. Well again thank you everyone for joining. Pleased to be with you today to share our Q1 results. 2011 started well for Perficient, we delivered revenues within our previously issued guidance range and actually slightly above the mid-point of the services guidance range. Total revenues were up 15% year-over-year and services revenues were up 18% year-over-year. Strong average bill rates resulted in higher gross margins and we posted GAAP earnings per share and net income that were up 100% over a year ago. Utilization was consistent with Q4 at 79% in total, but that reduced specifically to lower utilization of resources in China, where we’re investing for growth through the recent addition of about 40 interims. Excluding some contractors in China, utilization actually rose from 79% to 82% in the quarter. (Inaudible) which for U.S. employees was $123 an hour, the highest it’s been for quite sometime and that’s evidence to us of a recovery market. As we talked about in previous calls, we believe we still have room for incremental improvements to ABR as the year unfolds as well as down the road. I think this can be a $135 an hour business within a couple of years so long as the macro environment remains stable. From a bookings perspective, we closed 22 deals north of $500,000 during the quarter, which is more than any quarter during 2010. We mentioned on the year-end call that clients have been more willing in late 2010 to commit to projects before year-end than they were in 2009. So Q4 bookings were strong and so it was great to see that momentum continue in Q1. And in fact, our bookings for Q1 were again an increase to our Q4 bookings. We don’t typically talk about the number of active accounts or number of plants we have in terms of disclosing the specific number meaning customers that we’re serving in any given quarter, but those numbers in Q1 were also higher than any quarter during 2010. That’s a testament to something, which we spoke, on the year-end call, which is our increasing number of new clients, so it’s pleasing to see that we are adding new customers, which should lead to growth down the road. So it’s clear to us the recovery remains underway. And we did exit the quarter with plenty of cash and no debt. And notably, while it was in the first quarter transaction we did announce the acquisition of Exervio in the first day of the second quarter, so on April first. And that transaction expanded our capability portfolio, added over $13 million of run rate revenues in the business and built our footprint through the addition of offices and local presence in Charlotte and Atlanta, two key markets we targeted for sometime. Finally, as we mentioned in the press release, the Board recently approved our request to expand a share repurchase program and we’re raising both our full year revenue and earnings guidance. I’ll provide a little more color around the results as well as talk to the guidance ranges after Paul details our Q1 financial performance. Paul?
Paul E. Martin: 
 : Services gross margin for the first quarter of 2011 excluding stock compensation and reimbursable expenses increased to 32.4% compared to 32% in the first quarter 2010, continuing our trend of year-over-year margin improvement. SG&A expenses increased to $11.3 million in the first quarter of 2011 from $10.4 million in the comparable prior year quarter. Excluding non-cash stock compensation, SG&A expenses were $9.7 million compared to $8.5 million in the first quarter of 2010. SG&A excluding stock compensation as a percentage of revenue was 17.3% in the first quarter of 2011 compared to 17.4% in the first quarter of 2010. Stock compensation expense was $1.5 million in the first quarter, which is down $400,000 compared to the $1.9 million in the first quarter of 2010. EBITDAS defined as earnings before interest taxes, depreciation, amortization and stock compensation for the first quarter of 2011 was $7.1 million or 12.6% of revenues compared to $5.5 million or 11.3% of revenues in the first quarter of 2010. Net income was $1.8 million for the first quarter of 2011, doubled the $900,000 generated in the first quarter of 2010. Diluted GAAP earnings per share increased to $0.06 a share for the first quarter of 2011 from $0.03 a share for the first quarter of 2010. Non-GAAP earnings per share increased to $0.15 per share for the first quarter of 2011 from $0.12 for the first quarter of 2010. Non-GAAP EPS is defined as GAAP earnings per share plus amortization expense, non-cash stock compensation and transaction costs, net of related taxes divided by average fully diluted outstanding shares for the period. Our effective tax rate for the first quarter of 2011 was 40.9% compared to 44.9% for the first quarter of 2010 primarily as a result of lower non-deductible compensation. Our ending billable headcount at March 31, 2011 was 1,155, which included 9,997 billable consultants and 158 subcontractors. Ending SG&A headcount at March 31, 2011 was 183 and this includes 10 SG&A employees related to speakTECH acquisition we completed in December. During the first quarter of 2011, we spent $2.4 million on repurchasing 195,000 shares. And as of March 31, 2011 we have spent $44.6 million on repurchasing 3.6 million shares since the plan’s inception in 2008. As Jeff mentioned on May 3, our Board of Directors authorized to repurchase of up to an additional 10 million of our common stock for a total authorization of 60 million. In addition, we extended the program through June 30, 2012. We continue to believe that our share repurchase program will drive future accretion and shareholder value. We ended the quarter with no debt and $20.8 million in cash, cash equivalents and investments, which was down slightly compared to December 31, 2010 and as a result of paying down accrued liabilities during the first quarter of 2011. Our days sales outstanding on account receivable was 76 days at the end of the first quarter of 2011. Our goal is to maintain DSO between 70 and 75 days over time. This range will be a key ongoing initiative. We believe the reflection of efforts made in April have brought the DSOs back into our targeted range of 70 to 75 days. As Jeff mentioned, on April 1, we acquired substantially all the assets of Exervio pursuant to the terms of the Assets Purchase Agreement for approximately 13.6 million. We expect this transaction to be accretive in 2011and beyond. I will now turn the call back to Jeff for little more commentary behind these metrics. Jeff?
Jeffrey S. Davis: Thanks, Paul. Again a solid quarter. Perficient’s diversity from a solutions technology platform and client perspective continued in Q1. During the quarter, our top five customers combined to represent 23% of revenue. Healthcare industry accounted for 23% of revenues in the quarter followed by financial services at 13%. I think I mentioned previously we continued to view financial services as a area of opportunity and are actively investing and building out a more formalized industry practice group there much like we did with healthcare. From a solutions perspective; portals, performance management, business integration and CRM remain our strongest disciplines. And from a platform perspective; IBM continues to be very strong and our investments around the Microsoft platform are also yielding results. Based on our success there in our late 2010 acquisition of Speed Tech, Microsoft has moved ahead of Oracle in terms of our revenue platform concentration. Earlier I mentioned the Exervio acquisition as Paul did, is well in the beginning of Q2. Our goal remains to execute another two to three deals this year adding another $30 million to $35 million in acquired run rate revenues. We are actively reviewing several quality possibilities now and we remain optimistic that we will be able to achieve those targets, in fact our acquisition pipeline is the strongest it’s ever been. As each day progresses I grow more confident that the challenges of 2008, 2009 are behind us. The (inaudible) to those times maintain our market share and client relationships and make some key investments that position us to capitalize now that things are improving. We are operating today at the highest revenue and earnings run rate in Perficient’s history and the company is positioned stronger than ever before. I don’t expect (inaudible) to $5 million run rate revenues will be absolutely linear of what is challenges of course but I’m increasingly confident we’ll get there at our previously stated goal time line at the end of 2013. So lastly I’ll comment on Q2 and the remainder of 2011 in terms of guidance. The company expects its second quarter 2011 services and software revenue including reimbursed expenses to be in range of $62.6 million to $66.7 million comprised of $59.6 million to $62.7 million of revenue from services including reimbursed expenses and $3 million to $4 million from software sales. The mid point of second quarter 2011 guidance represents both the 70% over the second quarter of 2010 revenue. The company is raising its full year revenue guidance range to $245 million to $265 million from the previously provided range of $235 million to $255 million, and we are raising our full year cash earnings per share guidance range to $0.73 to $0.83 from the previously provided range of $0.70 to $0.80. With that, we can open the call up for your questions. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Brian Kinstlinger with Sidoti & Company. Please proceed.
Brian Kinstlinger – Sidoti & Company: Hi guys. How are you? 
Jeffrey S. Davis: Good morning Brian.
Paul E. Martin: Good morning Brian.
Brian Kinstlinger – Sidoti & Company: I was curious the 22 deals, about 500,000 it was a pretty high number. Is that indicative of how strong overall bookings are, and if so, should we expect the same ramp that you mentioned last quarter, takes about two quarters, and so in two quarters we’ll see a nice surge in services revenue, is that how we should think about it?
Jeffrey S. Davis: I wouldn’t describe it is a surge. I would describe it is a steady improvement though. Our guidance is clearly guiding to growth for the year and some of that growth is going to come from the bookings in Q4 and Q1. The lag that you mentioned is about right. Like I said, sorry, I called it a surge, but continued steady growth. I think the mid-point of our guidance for the year for organic growth has been and remains 8% to 10%. So again that’s the number that we’re targeting and still feel comfortable for the year.
Brian Kinstlinger – Sidoti & Company: Great. And for the year, on the top line mid-point, how much do you expect to come from pricing increases versus increased effort?
Jeffrey S. Davis: It is a good question. I think I mentioned in the last call about a 2% increase to pricing this year. We were hoping to end the year. We ended the year at about $120 an hour. We’re hoping to get maybe $122, $123 for the year and end at $125. We’re obviously seeing some better results in that early on, remains to see if that continues. So I would stick with my original commentary of probably 2% to 3% improvement on rates. We are still optimistic though about the 200 to 300 basis point or 2% to 3%, about 200, 300 basis point improvement on both gross margins and EBITDA and at the stock comp this year for the year.
Brian Kinstlinger – Sidoti & Company: Okay. And then, maybe if you can just touch on the financial services piece, maybe even healthcare too. But financial services, I think last quarter you talked about building a practice. I think if I recall where you are, not that you have one, but I think that something that you’re focused on capturing the gross opportunity out there, how that’s playing out? And then also, looking forward on the healthcare side, you made a lot of progress there. How potentially are you into some of those, if at all, into some of those healthcare records’ opportunities out that you’re seeing in the pipeline?
Jeffrey S. Davis: Good questions. Starting with healthcare, yes, we’re doing a lot of work around electronic health records in a number of accounts and we’re six Blue Cross Blue Shields now in the country. We are working with one of the country’s largest GPOs and actually being introduced by them to their member firms and winning work there. Some of that’s got to do with electronic health records, some of that is ancillary too, but contributory to EHR. The nice thing about this is that this is an industry that’s been, I would see, under spending for a long time in technology and EHR I think is certainly, just bring them on to begin the change that and as we get into these deals we find there is a lot of work to do, not necessarily related to HER. The other thing I’ll tell you is that these institutions both providers and payers are going to leverage the same data that they have to collect in aggregate for EHR for their own business. So we’re seeing a lot of BI opportunity, a lot of consumers facing opportunities above and beyond anything that the mandates have to do with. I would say to use a baseball for that, I think maybe in the second and third inning on the healthcare opportunity. I think it does nothing but grow for the foreseeable future for us. And in terms of financial services, we’re on early stages on developing that practice to be sure. I would say we’re comparable there to where we were with healthcare in terms of the evolution of the practice to maybe a couple of years ago with healthcare, or a year and a half or something like that. I think that’s a good news also. And despite that we’ve still seen financial services move from below 10% of revenue to 13% now and certainly seeing a nice pickup there. And we’ll have our team completely assembled here this year and running with that and I think that’s another opportunity to be ongoing. We’re a healthy financial services business pre-recession and I expect that just a normal environment the kind of services we provide are well received and there is a decent spin in the financial services, but I do think there is pent-up demand as well that will accelerate that growth there for the next couple of years.
Brian Kinstlinger – Sidoti & Company: Great, thanks so much.
Jeffrey S. Davis: Thanks, Brian.
Operator: Your next question comes from the line of Peter Heckmann with Avondale Partners. Please proceed.
Peter Heckmann – Avondale Partners: Good morning, guys. Paul, could you go over some of those numbers again, all-in utilization, all-in bill rate?
Paul E. Martin: Sure. So the U.S. employee utilization rate was 82% compared to 79% in the fourth quarter and I’m sorry you’re looking for the all-in rate?
Jeffrey S. Davis: The all-in was 79%. That was drawn down a little bit by the addition of 40 employees in China.
Paul E. Martin: That’s right. So that was actually flat with the four quarter and the U.S. piece was up from $79 to $82 and then on the bill rate side the all-in bill rate was or the U.S. bill rate was $123 and the all-in rate is a 110, up from 104.
Peter Heckmann – Avondale Partners: 110, okay, so we are seeing the increases on both sides, okay. And then could you give me total billable headcount in China, I apologize I missed them all.
Paul E. Martin: Yeah, so the ending headcount, so we have 814 North American billable headcount and 183 in China and the subs were 158 and that totals the total builder headcount of 1,155.
Peter Heckmann – Avondale Partners: Okay and then remind about how many deliverables came on with Exervio?
Jeffrey S. Davis: Somewhere between 80 and 85.
Peter Heckmann – Avondale Partners: Okay, 80 and 85. All right and we had a lot of economic noise here over the last six weeks or so. Can you provide any preliminary commentary on how April look, was there any real change in terms of your decision cycle, the decisions made, pull back on the higher energy prices and some of the other issues?
Paul E. Martin: Honestly, we’re not seeing anything tangible yet. April was actually a pretty strong month for us in bookings. So we continue to see good momentum there. I do think that might slow a little bit here in the summer. It’s a natural cyclic event or a seasonal event anyway. But we’re not seeing any of that come home to (inaudible). I’m concerned about it like anyone else is. But in terms of asking our GMs and our sales folks out there anecdotally, then I can see that from clients. We’ve not seen sales cycles really extend appreciably or measurably yet and we’ve not heard of any delays or cancellations that have been attributed to the economy. In fact, right now we’re not experiencing any delays or cancellations at all. I would say it’s about normal.
Peter Heckmann – Avondale Partners: Okay, and I’m inferring from your guidance both for the quarter and the year, well not so much for the quarter, but definitely for the year is that given some higher bill rates ramping on, giving some utilization move in the right direction. We’ve got a number of things working in our favor for margins in the second quarter. So we should see a fairly material step up both sequentially and year-over-year in operating margins here in the second quarter.
Paul E. Martin: Yeah as we’ve talked before we expect to continue to see improvement on the margins as the top line grows. We have got the zero point utilization at the right levels sustainably and expanding rates and actually marginally gradually bringing cost down or bringing more junior resources or less experienced resources into the company that is something that’s going to take a longer. But the answer is yes, but we’re certainly seeing some improvement there. And again I would reflect back or point back to my comments, Brian 200 to 300 basis points is what we are shooting for on gross margin expansion for the year.
Peter Heckmann – Avondale Partners: Got it, got it. All right, thanks a lot.
Paul E. Martin: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of George Price with BB&T Capital Markets. Please proceed.
George Price – BB&T Capital Markets: Hi, thanks very much. Good morning guys. My apologies, I had some issues kind of getting on the call, so I may have missed some of the things about which I will ask. But I guess high level, Jeff, it sounds like you were kind of already commenting around this. Actually let me start with one another things, the rise in guidance that basically guidance for the year in terms of revenue basically went up by Exervio, right?
Jeffrey S. Davis: Yes, pretty much. 
George Price – BB&T Capital Markets: Okay. I guess given that but also given the commentary that is on the press release and that I’ve heard from you regarding the business. Can you may be kind of comment on your level of confidence at this point versus may be a few months ago in terms of the guidance and where you think you could come out within the guidance range?
Jeffrey S. Davis: We always shoot for the mid point. I always shoot to beat the mid point, but where we – we believe we’re going to come out at the mid point and the ranges is our up and down side. So, honestly, I’ll be very clear on that mid point is what we’ve high degree of confidence in. Obviously above and beyond that we’re working very hard to beat that mid point and be at the higher end of the range. But I would say that’s true for both Q2 and for the year.
George Price – BB&T Capital Markets: Okay, all right, very good. And it doesn’t sound like this but you said you haven’t seen any delays, cancellations anything like that I guess may be just asking it in a different way. In terms of budget timing on the lease to budget and starting anything like that, are you seeing any delays, anything moving around may be in – even in terms of types of services that clients are prioritizing?
Jeffrey S. Davis: Again, I would say nothing that we can really say as a perishable or really tangible right now. I would, to be honest with you, if that’s going to happen, I think its something we’re going to see over the next month or two. That’s typical, we’re coming into the half of the calendar year and a lot of our client’s plan around that around the mid point of the calendar year and a lot of projects wrap up them. So, we’ll know better the answer to that question honestly in the kind of June timeframe, excuse me. So right now, again we’re not hearing that or seeing it, that doesn’t mean that its not there and we just, we wont see it. I wouldn’t expect to see it normally for probably May, June.
George Price – BB&T Capital Markets: Okay, okay. What acquisition cost we have for Exervio in the second quarter?
Paul E. Martin: The acquisition costs George are mostly booked in the first quarter since we were committed and it also happened right at the end of the quarter and we were around 500,000, you will see that in, there is a transaction cost number in that.
George Price – BB&T Capital Markets: And there is not going to be anything in the second quarter fall?
Paul E. Martin: Obviously we do another deal that would be something in, and if there is anything that would be minimal to probably.
George Price – BB&T Capital Markets: Okay, all right. And the software revenues in the quarter and I guess in your guidance maybe a little late than I expected, any color around that?
Jeffrey S. Davis: Yeah there is a deal. I would say overall, the healthcare. The software environment they run, it’s still pretty healthy. We’ve got some good opportunities here in this quarter. But you know software is equally lumpy. We closed two deals within the first, literally 48 hours in the second quarter, that were deals that we thought we are going to have both in the first and didn’t get in the first, but they came in the second. But our guidance still isn’t huge in the second as you can see and that’s really more of the testament probably just the lumpiness and the difficulty in forecasting that and it is reflection of our confidence about what the software is going to be. There was one deal that we are going to resale our record for a client we do services with. As I think you know we do software primarily opportunistically, and honestly in a lot of ways the service to our customers. So one of the customers that we’ve done traditionally are renewal with every year literally ran an online option process this year and drove the margin down to one but it wasn’t worthy to us. That was about $800,000 deal that frankly we opted not to do that we, I’m sure we could have won but it didn’t make sense for the business.
George Price – BB&T Capital Markets: Okay, all right. That’s helpful.
Jeffrey S. Davis: That’s the deal we’ve had in our numbers every year for probably the last six or seven years and then we did – that we opt in that (inaudible).
George Price – BB&T Capital Markets: What was your CapEx in the quarter, Paul?
Paul E. Martin: Give me a second, it was $200,000, but I’ll get you an exact number.
George Price – BB&T Capital Markets: Okay, and then I guess kind of keep in along those lines, DSOs and I look at just the simple sort of end of quarter and the period that has been. DSOs seems kind of flattish quarter-over-quarter I guess higher than expected in the sense that seasonally it looks like you typically get a seasonal drop in 1Q versus the 4Q of the prior year. Was there anything going on with collections or anything to note on that?
Paul E. Martin: So we will come back, the CapEx number was $630,000, it’s in the 10-Q which is filed and the…
George Price – BB&T Capital Markets: Okay, sorry 
Paul E. Martin: As we’ve talked about, we are doing the expansion in China and we’ll be moving into our new facility there here in the second quarter. So you will see CapEx in the first couple quarters to be higher than they have been historically. With respect to your second question on DSOs there was a couple of larger accounts that had their own administrative problems, the number went up. We had a lot of focus in March trying to bring that back down. So some of these software deals, some of that money came in early in April. So we think, we’re going to back in range in the second quarter.
Jeffrey S. Davis: Some of that has to do with the challenge, the good news is some of that has to do with the challenge of establishing new relationships with customers. It does take some time in some cases to get that process down on both sides of the equation. So some of that attributable for that, was like I said is good news even though we don’t like high DSOs. When you can say it’s because of new customer relationships I’m okay with it.
George Price – BB&T Capital Markets: Right, last thing I want to ask is just did you give margin assumptions. I know you talked about growth in the mid-point of ’11 guidance. Can you give us any sense on what the margin assumptions are for the mid-point. 
Paul E. Martin: For the year yeah I mean you can look at the, we’re at 70 where the midpoint for 73 to 83. So we are at $0.78 at the midpoint on $255 million in revenue. 
George Price – BB&T Capital Markets: But can you comment, I mean what are the underlying margin assumptions you guys say that are going to play? 
Paul E. Martin: Sure, well I can be specific by quarter. For the year, I have mentioned we finished last year with gross margin at a stock comp at about 34%. And I mentioned that I expect this year we are shooting this for this year to raise that to between 36 and 37 for the year. Okay, so you got the Q1 numbers. We still expect that to be in that range for the year so long as all things remain equal in terms of the top line guidance et cetera. Same with EBITDA, net of stock comp, we finished last year at 13% for the year. We expect 15% to 16% for this year that’s what we’re shooting for. 
George Price – BB&T Capital Markets: Okay, great. Thanks very much guys for taking the time. 
Paul E. Martin: Thanks George.
Operator: Your next question comes from the line of Brian Gaines with Springhouse Capital. Please proceed.
Brian Gaines – Springhouse Capital LP: Hi guys can you give bookings for the first quarter and then I think on the last call you gave a 90-day trailing number. So if you have those, well that will be great. Thanks.
Paul E. Martin: Yeah we don’t disclose specific dollars on bookings. I can tell you that again it was higher than the fourth quarter reflected growth. So it’s higher than revenue. We don’t actually disclose this specific number. It’s too lumpy and I think subject to misinterpretation. They were good enough for us to be reasonably optimistic going forward. And I think it reflected somewhat in our Q2 and overall year guidance if that helps.
Brian Gaines – Springhouse Capital LP: Yes. Can you give percentage guidance on that guidance, percentage increase?
Paul E. Martin: I will give you an estimate. I would say Q1 bookings were up probably 5% plus over Q4.
Jeffrey S. Davis: For a single quarter.
Brian Gaines – Springhouse Capital LP: Thanks.
Jeffrey S. Davis: Thank you.
Operator: (Operator Instructions) With no further question in queue, I’d now like to turn the call over to Mr. Jeff Davis for any closing remarks. Please proceed.
Jeffrey S. Davis: All right. Well, thank you all for your time this morning. Again we’re pleased with the results for Q1 and more excited even about the guidance that we’re able to provide for Q2 as well as the year. So, it’s going to be a record quarter for Perficient and a record year for us. We’re excited about that. Thank you all.